Operator: Good day, everyone, and welcome to the Cintas Corporation Announces Fiscal 2024 Second Quarter Earnings Release Conference Call. Today's call is being recorded. At this time, I would like to turn the meeting over to Mr. Jared Mattingley, Vice President, Treasurer and Investor Relations. Please go ahead, sir.
Jared Mattingley: Thank you for joining us. With me is Todd Schneider, President and Chief Executive Officer, and Mike Hansen, Executive Vice President and Chief Financial Officer. We will discuss our fiscal 2024 second quarter results. After our commentary, we will open the call to questions from analysts. The Private Securities Litigation Reform Act of 1995 provides a safe harbor from civil litigation for forward-looking statements. This conference call contains forward-looking statements that reflect the company's current views as to future events and financial performance. These forward-looking statements are subject to risks and uncertainties which could cause actual results to differ materially from those we may discuss. I refer you to the discussions on these points contained in our most recent filings with the Securities and Exchange Commission. I will now turn the call over to Todd.
Todd Schneider: Thank you, Jared. We are pleased with our second quarter results and are excited about the future. Second quarter total revenue grew 9.3% to $2.38 billion. Each of our businesses continue to execute at a high level. Our momentum in the business is good and volume remains robust. We can grow in a number of different ways. Contribution to our growth from new business remained strong and comes from companies that either outsource their program today or they are managing it themselves. We continue to have great success cross-selling to existing customers. Retention levels are strong and remain at very attractive levels, and our value proposition of image, safety, cleanliness, and compliance continues to resonate across businesses of all sizes and in all verticals. We continue to be pleased with the results from our focus on prospects within the verticals of healthcare, hospitality, education, and state and local government. We recently announced the opening of two cleanroom facilities, one in North Carolina and the other in Wisconsin. These facilities will provide additional capacity in these regions in order to expand our efforts in this area of attractive growth from pharmaceutical and biotechnology companies. The benefits of our strong volume growth and revenue flowed through to our bottom line. Gross margin for the second quarter grew 11.6% and operating income grew 12.3%. Diluted EPS grew 15.7% to $3.61. Cash flow remained strong. Net cash provided by operating activities in the second quarter grew 17.8% over the prior year. Our strong cash flow gives us flexibility to choose how we deploy our capital. In the second quarter, we continued to invest in our businesses. We also acquired several smaller businesses. On December 15th, we paid shareholders $137.5 million in quarterly dividends, an increase of 17.1% from the amount paid the previous December. During the second quarter, we also purchased $320.3 million of Cintas common stock under our buyback program. I would like to thank our employees, whom we call partners, for their continued focus on our customers, our shareholders, and each other. Now, before turning the call over to Mike to provide details of our second quarter results, I'll provide our updated financial expectations for our fiscal year. We are increasing our financial guidance. We are raising our annual revenue expectations from a range of $9.40 billion to $9.52 billion to a range of $9.48 billion to $9.56 billion, a total growth rate of 7.5% to 8.4%. Also, we are raising our annual diluted EPS expectations from a range of $14.00 to $14.45 to a range of $14.35 to $14.65, a growth rate of 10.5% to 12.8%. Mike?
Mike Hansen: Thanks, Todd, and good morning. Our fiscal 2024 second quarter revenue was $2.38 billion compared to $2.1 billion last year. The organic revenue growth rate, adjusted for acquisitions and foreign currency exchange rate fluctuations, was 9%. Organic growth by business was 7.9% for Uniform Rental and Facility Services, 12.7% for First Aid and Safety Services, 17.8% for Fire Protection Services, and 4.7% for Uniform Direct Sale. Gross margin for the second quarter of fiscal 2024 was $1.14 billion compared to $1.02 billion last year, an increase of 11.6%. Gross margin as a percent of revenue was 48% for the second quarter of fiscal ‘24 compared to 47% last year, an increase of 100 basis points. Strong volume growth and continued operational efficiencies helped generate this strong gross margin. Gross margin percentage by business was 47.4% for Uniform Rental and Facility Services, 54.5% for First Aid and Safety Services, 48.6% for Fire Protection Services, and 40.9% for Uniform Direct Sale. Gross margin for the Uniform Rental and Facility Services segment increased 40 basis points from last year. We continue to leverage our strong revenue growth and extract inefficiencies out of the business in order to expand margins. Our year-over-year improvements are no accident. Our Six Sigma and Engineering teams have helped us create efficiencies in the plant that allow us to maximize the utilization of our equipment, labor, and energy. Our SmartTruck technology allows us to improve our route efficiencies and provide density to our existing routes. While energy expenses comprised of gasoline, natural gas, and electricity were a tailwind of 40 basis points from last year, please keep in mind that some of the energy benefit is the result of efficiencies just mentioned. As an example, our rental revenue grew organically at 7.9%, but we only added 1% to our route structure since last year. Gross margin for the First Aid and Safety Services segment increased 400 basis points from last year. Our revenue growth is strong and value -- our value proposition continues to resonate in this segment. Health and safety of employees remains top of mind. Our mix of revenues continues to be healthy, including growing high margin recurring revenue products like AED rentals, eyewash stations, and WaterBreak. We continue to use technology like SmartTruck to optimize our routes and improve efficiencies. And our first aid dedicated distribution center allows us to lower product costs. All of these contributes to our improved margins. Selling and administrative expenses grew $64.4 million or 11.1% over last year. Strong revenue growth creates leverage, which allows us to invest in the business. We continue to invest in our people, adding selling resources, investing in our management trainee program to develop future leaders, and expanding our talent acquisition efforts. Operating income of $499.7 million compared to $444.9 million last year. Operating income as a percent of revenue was 21% in the second quarter of fiscal 2024 compared to 20.5% in last year's second quarter, an increase of 50 basis points. Our effective tax rate for the second quarter was 20.9% compared to 22.1% last year. The tax rates in both quarters were impacted by certain discrete items, primarily the tax accounting impact for stock-based compensation. Net income for the second quarter was $374.6 million compared to $324.3 million last year. This year's second quarter diluted EPS of $3.61 compared to $3.12 last year, an increase of 15.7%. Todd provided our annual financial guidance. Related to the guidance, please note the following. Fiscal ‘24 interest expense is expected to be $100 million compared to $109.5 million in fiscal ‘23, predominantly as a result of less variable rate debt. Our fiscal ‘24 effective tax rate is expected to be 21.3%. This compares to a rate of 20.4% in fiscal ‘23. The higher effective tax rate negatively impacts fiscal ‘24 EPS guidance by about $0.16 and diluted EPS growth by about 120 basis points. Our financial guidance does not include the impact of any future share buybacks and guidance includes the impact of having one more workday in fiscal ‘23 compared to fiscal -- I'm sorry, fiscal ‘24 compared to fiscal ‘23. This extra workday comes in our fiscal third quarter. I'll turn it back to Jared.
Jared Mattingley: Thanks, Mike. That concludes our prepared remarks. Now, we are happy to answer questions from the analysts. Please ask just one question and a single follow-up, if needed. Thank you.
Operator: [Operator Instructions] Our first question comes from Ashish Sabadra from RBC. Please go ahead, Ashish.
Ashish Sabadra: Thanks for taking my question. Just on the four verticals that you highlighted as areas of strength in particular. I was wondering if you can quantify how big the combined revenues are from those verticals and how does the growth profile there compare to the company average? Any color? Thanks.
Todd Schneider: Good morning, Ashish. This is Todd. Thanks for the question. We don't -- I don't have any specific number for you as far as that exact number, but I can tell you that our verticals are performing quite well. We're having really good success. Our focus around not just selling but organizing around those is really paying off for us. And I've just got a couple of wins I can share with you regarding the verticals. In healthcare, in the acute space, we're having good success and non-acute as well. We’ve got a scrub rental program to a big hospital network in South Carolina that is benefiting from a new consistent image but also identification. The customer told us that they were interested in being able to -- pardon me, identify their people, understanding who was supposed to be in what area and this new scrub program did that. We had a really similar experience with a nursing home in Virginia. Same thing. They were buying their own and they -- but the leadership wanted to be able to identify and have a consistent image with their people. We had a -- on the acute side, again a hospital in Florida that we rolled out a new microfiber program because they were struggling with inventory control and product quality, which led to cleanliness concerns. And our program offered some great products, technology to control the inventory, which allow them to focus more on their patients, instead of having a full run with trying to manage the microfiber. Excuse me. And then I've got a couple of other examples I thought might be helpful for the group. In our government sector, we have -- we just recently rolled out a first aid and AED rental program to a public library system in California, which is -- you wouldn't think of a public library system as being a great prospect for us, but it is. They realized that the value would bring to their employees and being prepared with the AEDs in case it was needed because the publics in their locations. And then lastly, I'll just share with you a little bit on education. A variety of wins there. We had a chemistry department at a nice-sized university in Virginia. They put all their educators and students in a lab tour program. The maintenance department at a University in California put all of their people in Carhartt uniforms, a rental program from us, they love the Carhartt. And then the last item would be there was a dining facility at a university in Arizona where they put all their culinary people in Chef Works, which is a big win for those folks. The branded programs with Carhartt and Chef Works were big wins. So, I don't want to belabor it, but I thought I would just share a few wins because I know verticals are of interest to yourself, Ashish, but also plenty of other folks on the call.
Mike Hansen: Yeah. The only other thing I might add is, as Todd just talked about, we have so many ways to win, and clearly, those verticals are growing faster than the average. So we still are seeing really good momentum in each of those.
Ashish Sabadra: That's great color and thanks for sharing those events. It does provide a lot more clarity on those verticals. And if I can ask a quick follow-up. I was just wondering if there is -- if you could share any update on your technology, the SmartTruck program, and particularly the partnership with Google, Verizon, and SAP, any updates on that front? Thanks.
Todd Schneider: Certainly. I think how -- one of the things we have around here is we don't make money when the wheels are moving. We make money when the wheels stop. And -- so we're -- or the way Mike described it, in total for our company, we grew revenues over 9%, but we only added 1% to our route structure in total. So that means we're spending more time with the customer, less time driving, which is better for our customers, better for our partners, and better for Cintas. So we're pleased with that. Our technology and we still have plenty of room to go there. We're focused on bringing those efficiencies, extracting out the inefficiencies in our business. We sent out a note -- a press release regarding our migration this quarter to the Google Cloud, that has been very successful for us. There's a number of benefits that we get from moving from a server farm to the Google Cloud. The first one is it's more secure, so very important to us. Second item is, over time, we believe we will -- that'll be more cost-effective for us. And the third is it gives us access to Google's AI platform. So certainly in the very early innings, we just migrated, but we think that that will be able to help us longer term in making it more attractive, making it easier to do business with Cintas, making sure that we are positioning our people to be successful, to point them in the right direction and leverage that type of -- those types of tools.
Operator: And our next question comes from Manav Patnaik from Barclays Capital. Please go ahead, Manav.
Manav Patnaik: Thank you. Todd, just to follow up on all the wins and contracts you talked about, maybe, I guess the question is more around the competitive environment versus is this just first time outsourcers? Any trends, any changes you're seeing from that front, the new business percentage you've called out before, but whether that's more market share or just first time outsourcing?
Todd Schneider: Good morning, Manav. Great question. As Mike said, we win in many ways. We have been selling no programmers since the inception of my career, I can tell you that, and we continue to. And I'll just remind you, there is -- we service a little over a million businesses, but there's 16 million businesses in the US and Canada, so there's plenty of opportunity there. And we like both. We certainly win some from the competitors. We like growing the pie. And then the examples I was giving, it's a mix. But in large part, it is -- they were either doing it in house, meaning they were processing microfibers in house, or they were telling their employees to go buy product. So there's different variations of no programmers, meaning some are just -- were buying products and providing to their people and telling them to wear them. Some of them, they were just telling them to show up to work and look good. But nevertheless, we bring so much better consistent program identification, cleanliness, all these and compliance are big drivers for our customers.
Manav Patnaik: Got it. And then just on the capital allocation front, I mean, the buyback number one of the bigger quarters for a while now. I mean, is that any indication of the M&A market slowing down or just how we should think about that balance there?
Mike Hansen: Manav, we -- no change in what we're seeing in M&A. Still we're working the pipeline as best we can. We've made some nice acquisitions this year. From a buyback perspective, you've heard us speak to it being an opportunistic execution. And that's what you saw this quarter. As we think back about our first quarter results, and we thought they were pretty good, the stock reacted a little bit negatively, and we saw that as a nice opportunity and we took advantage of it. So that is a -- it was a good example during the quarter of an opportunistic execution of that buyback program. And the beauty, Manav, as we speak about our capital allocation, we don't always have to choose right in the quarter or maybe let's call it for the year. We've invested in the business as we've talked about. Our CapEx is up, which is important to us as a part of that investment. M&A is up from last year. Dividends are up 17% from last year, and we've been able to execute on the buyback program. So when you hear us talk about the sort of the four levers of capital allocation, we've done them all, I think, nicely this year. And again, the beauty of our cash flow and our balance sheet is we don't really have to choose.
Todd Schneider: Mike, I would just add that we think we're being really good fiduciaries of our shareholders' investments. Mike mentioned all the levers. And the net-net of that is we still have great dry powder, which allows us to take on M&A of all shapes and sizes and we're interested in that.
Operator: And our next question comes from Joshua Chan from UBS. Please go ahead, Joshua.
Joshua Chan: Hi. Good morning. Thanks for taking my questions. So, Todd, you mentioned the opening of the cleanrooms. I was just wondering if you can kind of frame for us what you see as the attractive parts of this business. How is it attractive? And what kind of opportunity does it mean for Cintas going forward in the cleanrooms?
Todd Schneider: Thanks for the question, Josh. Yeah, the cleanroom business is, it's an attractive sector for us. I mentioned pharmaceutical and biotechnology companies, and there's -- it seems like there's more and more every year that need that level of cleaning, that level of cleanliness. So, that is -- we think that bodes well for that business in the future. And there has been -- you've seen some momentum onshoring in that area. And we want to make sure that we have the appropriate capacity to serve our current customers and that we're prepared for the future as well. So, we like the trends in that business, and we like the business.
Joshua Chan: Great. Thank you for the color there, Todd. And, in fact, if I can follow up with the margin question, I guess, if in the future, the energy favorability were to lessen, could you talk to the opportunities that you still have to drive margin expansion and the targeted incremental margins going forward without as much energy tailwind?
Todd Schneider: Yeah. Great question. Yeah. So, we recognize that energy prices go up, they go down. But one thing that's going to be consistent is, we're going to be focused on extracting out inefficiencies in our route structure and in our production facilities. So, that will be really important to us. And we think there is certainly ample opportunity there still to go. We've talked about the SmartTruck technology, that's been impactful to us in many ways. But what's also impactful is, as Mike mentioned, our Six Sigma team of professionals, our Engineering professionals, and then layering in with that technology allows us to have a centralized visibility into our operations at a level that we've never had before in the history of the company this technology allows us. So -- and it allows us to maximize our labor, our equipment, ultimately our energy spend. So -- and we're focused on extracting out those inefficiencies, so that we can manage it moving forward. We love when energy goes -- costs go down, but we recognize those markets will move, but we're going to be focused on extracting out those inefficiencies.
Operator: And our next question comes from Heather Balsky from Bank of America. Please go ahead, Heather.
Heather Balsky: Hi. Sorry about that. Thank you for taking my question. And first question with regards to the programmers and non-programmers, as we're further and further out from the COVID period, are you still seeing the shift in demand in terms of more non-programmers looking to outsource, or do you think it's starting to normalize back to pre-COVID trends?
Todd Schneider: Well, Heather, it's a great question. I'll start. Mike, feel free to chime in. We're -- there's various reasons why a prospect would turn into a customer. Going from a no programmer to a customer. One of them is, hey, where we'd like to outsource it, because we're not very good at it or we're not -- we don't have -- we're struggling to staff and we're struggling to find people to manage this. So, that still continues. But there's other reasons. It might be, we don't like the image that we're portraying. We don't like the lack of identification. We don't like the lack of compliance. You can provide them, and we know that they're hygienically clean. So, there's many different motives. One of it might be, hey, we can't staff, and we need help. And we still see that, frankly. And it allows our customers to focus on what's most important to them, taking care of their customers, their patients, their guests, whatever it is, instead of having to manage through these various programs.
Mike Hansen: Heather, the no programmers is still -- we get -- more than 60% of our new business comes from no programmers. Your reference to the pandemic might be, we did certainly, in the early days of the pandemic, see an increase in personal protective equipment and things like hand sanitizer. Those have normalized back to what we would call normal and ongoing levels, so that might be the only change that we had, and back to normal.
Heather Balsky: Thank you. And then, on the margin front, we're just kind of curious, when you think about -- you talked earlier about opportunities for efficiencies and further route productivities, when you think about the source of those savings, how much are just organic Six Sigma efforts, how much is coming from your SAP, and are there still G&K synergy or opportunities that you're kind of benefiting from? Thanks.
Todd Schneider: Heather, it's a good question. We don't really discern the difference between our Six Sigma team, our Engineering team and our Technologies. They all have to work, be orchestrated appropriately to get the efficiencies, so -- and that's exactly what we're doing. So, everybody has to be involved. And that's what produces the great results. As for G&K, yeah, we're -- we now -- we’re I think about six and a half years since we acquired, if my math is correct. So, yeah, I wouldn't say that there's anything left on the bone there.
Operator: And your next question comes from Andy Wittmann from RW Baird. Please go ahead, Andy.
Andy Wittmann: Yeah, great. Thanks. Good morning, and thank you for taking my questions. I guess, I just wanted to ask on the outlook a little bit here, Mike. The second half total revenue guidance is in the 7% range at the midpoint against an organic 9% quarter here. So, a degree of deceleration. I guess that was implicit in your previous guidance as well. But just thought maybe give you a chance to elaborate a little bit more on that, talk about what you're seeing in the macro, if that's just you guys being kind of your normal prudent approach, or if there's something that we should be considering?
Mike Hansen: Andy, I'd lead with it's our normal prudent approach. And when you think about where we are, we've talked a little bit already about growth is still good, momentum is good, and so we like where the business is going. The range for the back half of the year does -- certainly does imply a little bit over 7% at the midpoint, a little over 8% at the high point. We like that range. The cadence is good for us, as you know. But, look, as we look into calendar ‘24, there certainly is a little bit of uncertainty as to what the new economy may bring, what the Fed movements may bring, and so we think it is wise to be prudent as we look out.
Andy Wittmann: Great. That's my only question for today. Have a Merry Christmas, guys.
Todd Schneider: Thank you, Andy.
Operator: And our next question comes from George Tong from Goldman Sachs. Please go ahead, George.
George Tong: Hi. Thanks. Good morning. Earlier you mentioned that business momentum was good. Volumes were robust in the quarter. Can you provide more color on overall customer budget trends and customer sentiment, and any changes that you might be seeing in the sales cycle?
Todd Schneider: George, we -- good morning, George. We -- forward-looking, as Mike said, there's always -- we're not trying to prognosticate exactly how our customers will react to the turning of the calendar year, but we're not seeing any change in sales cycles, and we haven't seen a change in our customer base and they're -- how they're reacting to what's going on in the marketplace. So, it's kind of business has been consistent, and it's more what Mike referred to the turn of the calendar year. And we'll see how businesses react coming out of the holidays.
George Tong: Got it. That's helpful. And also you mentioned cross selling was good in the quarter. Can you elaborate more on cross selling trends that you're seeing, in which areas you're seeing most amount of bundling or upsell, cross sell from?
Todd Schneider: Yeah, George. Cross sell is -- it's an important component of our growth, and the nature of it is we're having good success across all of our areas of our business. We're blessed to be in a position where our customers, fortunately, they really like us. They like our relationships. We have people in their businesses on a really frequent basis, mostly on a weekly basis. So they -- and we have -- so that means we have eyes, ears, and minds in their business and we can help. And it doesn't matter to us what a customer might lead with, whatever they're interested in, but then we will quickly pivot and we can help them in many ways. So -- but just the nature of the size of the rental division is such that because there is -- are so many customers there, there's plenty of opportunity for our First Aid and Fire business to cross onto that just because of the numbers there. But nevertheless, it's working quite well across all of our organization. We share leads, we share thoughts, and we make sure that the customer is well taken care of.
Operator: And our next question comes from Tim Mulrooney from William Blair. Please go ahead, Tim.
Tim Mulrooney: Yeah, good morning. I just wanted to ask one question. Pricing now normalized back to the 2% range. That means your organic growth was comprised of approximately seven points of volume. I was just hoping you could dig into that a little bit more as it was a little stronger than I think most of us were expecting. Did you see an uptick in retention? Did you have a strong quarter with that cross sell? Or maybe new account growth and any details would be helpful.
Todd Schneider: Yeah, good morning Tim. So our new business is robust. As I mentioned, retention levels are very good and our cross-sell is very good. And the pricing is still, it's lower than last year. It is higher than historical, but it's certainly getting much closer to historical. So -- but when you -- so when you think about that, it is -- our various inputs to growth are all performing well, and we expect that to continue.
Mike Hansen: And as we talk, we win in a lot of ways. And the momentum in the rental business is still really good. But we also saw in the quarter some really nice acceleration in First Aid and Safety from 11% in the first quarter to 12.7% organically in the second quarter. And we saw some nice improvement in Fire where we went from a little over 14% in the first quarter to 17.8% in the second quarter. So we just see some really good momentum in all of our businesses. And particularly those two had some really nice performance in the second quarter.
Tim Mulrooney: Yeah, I did notice that re-acceleration across both those businesses. That's helpful color. Thanks, guys. Happy holidays.
Todd Schneider: Thank you, Tim. You as well.
Operator: And our next question comes from Andrew Steinerman from JPMorgan Securities. Please go ahead, Andrew.
Andrew Steinerman: Hi. Could you just mention if your ad stops directionally and the uniform rental business was up, down, or flat recently?
Todd Schneider: Good morning, Andrew. Our ad stop metrics are -- have been pretty consistent. We haven't seen much of a change in our customer base. And so I'd say that's how I would describe it. We see still positive trends in our ad stop metrics, but that's pretty consistent as it has been for the last six to twelve months.
Andrew Steinerman: Okay, thank you very much.
Todd Schneider: Yes sir, thank you.
Operator: And our next question comes from Jasper Bibb from Truist Securities. Please go ahead, Jasper.
Jasper Bibb: Hey, good morning guys. You mentioned year-on-year tailwind from energy. But was just hoping to get some additional color on other cost inputs, I guess specifically, labor and materials.
Todd Schneider: Yeah, I'll start, Jasper. Good morning. Our -- we're seeing -- just like you're seeing with inflation in total, we're seeing that come down. It's never coming down as fast as we like, but we are seeing it. Cotton is stabilized. We're seeing freight come down and that's important to us. And the labor market is easier. It's still not easy, but it is easier. So I think that probably the right way to think about it would be as the labor market eases, and that will lessen pressure on wage growth as well.
Jasper Bibb: Thanks. And then I wanted to follow up on first aid. Operating margins there were really strong in the first half. Should we think about these like low 20% levels as sustainable going forward? And would you say there's anything that's changed there that's unlocked another leg of operating margin expansion here today?
Mike Hansen: Sure. Jasper, we have seen some nice performance in that business and I spoke to a few of them where from a margin perspective, first of all, the value that we sell with, nothing is more important than the health and safety of your employees is really still resonating well. And so our growth has been really good in that business. We talked a little bit in the opening comments about sort of the recurring revenue streams of AED rentals, our eyewash stations and our WaterBreak. And these have been great businesses for us. The growth has been really good and the margins are great for us. Many times these are add-on products to existing customers. But in all three of them, we install, and then we have a recurring service program that goes on after that. And again, it leads to really nice stickiness and also nice margins. The other thing that I'll point out is we opened a first aid and safety distribution center a couple years ago and that allows us to source more. It allows us to centralize some of our sourcing, and those kind of things lead to a better product cost, and that again drives down the material cost in our first aid and safety business. So the combination of really good sales mix, really good growth in the business, good sourcing, the one I didn't mention was SmartTruck technology that is also having a benefit there. All of those things are contributing. And so this is not a case of six months of sort of unusual items. This is a little bit of a lot of hard work and execution by our first aid and safety partners to really get this margin going.
Jasper Bibb: Very helpful. Thanks for taking the questions.
Operator: And our next question comes from Faiza Alwy from Deutsche Bank Securities. Please go ahead, Faiza.
Faiza Alwy: Yes, hi, thank you, Todd. So I wanted to follow up on both the first aid business and the fire business. You touched on the first aid a little bit, but curious on what's driving the acceleration, if you could expand on that, both on first aid and fire. And then as we think about your outlook, do you expect this level of growth to sustain looking ahead? And, I know in fire, you talked about an SAP implementation that was happening in this fiscal year. So maybe is that helping the top line? Has that happened? How should we think about margins going forward in that business?
Todd Schneider: Good morning, Faiza. Thanks for the question. We really like the fire business. It's the only business we're in where you legally have to have it. So there is, I'll call it double negative, no program market. Everyone is a programmer. But we are able to cross-sell very well into that market. We're using various technologies that Mike referenced to make sure that we're positioning our partners to be more successful, meaning we use SmartTruck technology in all of our businesses, and that helps us. But we're getting leverage from our growth. And the growth is attractive. And we think it's – there’s certainly -- running a business isn't linear. So there will be ebbs and flows, but we like the long-term outlook for the fire business. That being said, as you mentioned, we are going through an SAP implementation. We certainly -- we haven't even implemented at this point, so we haven't seen any benefits just yet, but we're optimistic about how that can help our business over the coming years.
Mike Hansen: Maybe I'll add two things to the fire, and a little bit of first aid too. The market opportunity in those businesses is really large and our expectation as we've talked about is that those businesses will continue into the future near that double digit type of a place. Again, the market opportunity is really large. One last comment on the SAP, we've not started it. And so as we get into that, which is likely going to be more about next fiscal year, we may see a little bit of pressure in the fire segment because as you can imagine, when you turn -- when you start to go into an SAP conversion, you don't get benefits overnight. It takes a little bit of time. So we'll have some additional costs in ‘25 and certainly then setting up really nice benefits into the future for that business.
Faiza Alwy: Great, thank you. And then if I could just follow up on the macro environment, you made some comments in response to a previous question around just you’re being prudent and there is some uncertainty. Just given sort of how well you are doing [with no programmers] (ph) and the momentum you are seeing in sort of these other businesses, I'm curious if you can give us a framework in terms of how we should think about the impact of macro on your business.
Todd Schneider: Well, I'll start, Faiza, with, our history has been we grow certainly in multiples of GDP and employment growth and you hit it. We are able to sell into no programmers. Even when they're not, let's say, adding people, we can take pressure off of them by managing programs for them. So our new business effort is always really good. But certainly, if we see turns in the economy, we've got to adjust potentially. If we see our customers start to reduce their number of people, we've got to adjust. And so it is prudent for us to sort of think about that as we look into our guidance and into the future of the business.
Faiza Alwy: Understood, thank you so much.
Operator: And our next question comes from Seth Weber from Wells Fargo. Please go ahead, Seth.
Seth Weber: Hey, good morning and happy holidays, guys. I wanted to just go back to the clean room discussion for a minute. If there's any way to frame how we should be thinking about that, new facility openings, and are those facilities higher CapEx relative to a traditional facility? Is there any way to combine facilities or I'm just trying to get a better understanding of this opportunity and what the investment might be for Cintas going forward? Thanks.
Todd Schneider: Yeah, Seth, thank you for the question. As you know, that's a segment of the uniform market. As I mentioned earlier, it does seem more companies over the last decade or so have higher cleaning quality requirements, so we think there's a tailwind there. As far as the CapEx required for a facility like that, you can think of it as very similar to a uniform facility. The only difference I think that you may want to think about is, it serves usually a larger geographic area than we would with a traditional facility. And the reason being is we only have so many of them and they have to cover the customer base. So as a result of that, we do cover a larger geographic area for -- out of each of those facilities.
Seth Weber: Okay, that's helpful. Is there any way for us to think about how many of these facilities you might be opening over the next couple of years relative -- I mean I saw the press release for the Wisconsin facility, but is this order of magnitude ones and twos or could this be much bigger going forward?
Todd Schneider: Yeah, Seth, I wouldn't -- you're not going to see ones and twos coming out every quarter or every year based upon the size of the market. So it certainly won't be anywhere near that pace. But it will be paced based upon the demand from the marketplace. If there's more and more customers that are interested in it, then we'll be prepared to meet that demand.
Seth Weber: Okay, that's helpful, thanks. And then maybe just a quick follow up on the direct, it's nice to see the direct sales business turn positive again in the quarter. Is there any color on whether that's coming more from the service side of your customer base, more of the manufacturing side, and any just detail there or is it just kind of across the board?
Todd Schneider: Good question, Seth. The design collective business, the direct sale portion of it, we've spoken in the past, it's certainly lumpier. And so as far as where that growth is coming from, it's really more national accounts, where we would get it, hospitality, lodging. And when they have rollouts or new allotment programs, you tend to get spikes. And then -- so we love the spikes and then the, what comes after the spike isn't as good, but I wouldn't think about it as a big growth engine for us.
Mike Hansen: Yeah, we typically would say in the low to mid-single-digit growth. So this quarter is sort of in line with that expectation.
Operator: And our next question comes from Stephanie Moore from Jefferies. Please go ahead, Stephanie.
Stephanie Moore: Hi, good morning. Thank you. I wanted to touch a bit on maybe the cross-sell opportunity over time. I think you've provided -- you continue to execute very well on your investments, particularly on the technology front and called out this enhanced visibility that you have. So maybe you can talk about, given some of these investments, what this might mean for cross-selling, meaning the opportunity to add those additional products and kind of continue to further penetrate each existing customer. So kind of how are you balancing the incremental products that you can offer over time? Thanks.
Todd Schneider: Good morning, Stephanie. Well, you can think about it -- we call it cross-sell. There's -- cross-sell is really division to division. There's also upsell which would be, we have products that our customers don't use all of our products, even within the rental division, or the first aid division, and what have you. So, those are all components of growth for us, and we see a significant, massive, frankly, runway in all those areas. So we're trying to position our employee partners to make sure that they're in the right spot and have the right information to help the customer. And then we're also continually, it's part of our corporate culture, is to invest in new products and new services. We're always working on that. And we get those ideas from those customers and then we test them and then we launch them and we're always working on that. It's always been a component of our growth and always will be.
Stephanie Moore: Thank you. Appreciate it.
Todd Schneider: Thank you.
Operator: And our next question comes from Scott Schneeberger from Oppenheimer. Please go ahead, Scott.
Scott Schneeberger: Thanks. Good morning, everyone. Happy holidays. I -- my first one, I'm going to delve into the SG&A running low double digits growth, something you did last year as well. And you cited investment in selling resources, management training program, tech, and also some talent acquisition efforts. Just curious, and you guys have said on this call, labor is getting better but still a little tough. Could you elaborate on the labor aspect and kind of what you guys are doing pushing the selling? And then also curious about the tech aspect. Maybe you've already covered it in the call if that's what you meant, but just wondering if there's anything extra there? Thanks.
Todd Schneider: Yeah. Good morning, Scott. We’re -- the items that you mentioned, they're all really important to us. We are -- there's not one that I would call out, but I would think about it this way. We think the future's really bright and we want to invest for the future. We know we need the talent acquisition team to be attracting the very best talent. The management trainee programs are leaders of the future, and we think they are a critical pipeline, and we're going to need those leaders. And then the selling resources are, we see the -- it looks, we think the future's bright with our, how many customers we have, what the size of the market is. I mentioned 1 million customers, about 16 million businesses. So that's all great. And then you kind of wrap it all with technology, because technology will, we want to make it easier to do business with us, and we want to leverage technology to make our partners more successful. Point them in the right direction, give them the right tools in their toolbox to spend their time in the right spots, but also to make it easier for the customer to buy, easier to do business with in totality.
Scott Schneeberger: Great, thanks, appreciate that. And then, not a lot of acquisition activity in the quarter, but there was some, and there was a good amount in the first quarter. I remember you saying it was across all businesses, but we didn't hit it up too much last quarter. Could you talk about what it is that you're acquiring and clearly across segments, but what the strategies have been there? Thanks.
Mike Hansen: Sure, not a lot of change in the strategy, Scott, and that is we love rental tuck-in opportunities and we've made a number of those this year. And as you can imagine, when we do that in a marketplace, we add immediate capacity utilization improvement, route density, and so those things really help us in the rental business. So we've made some of those. We certainly have made some first aid acquisitions, and we've made fire acquisitions. Again, the dynamic is similar in all three of these. These are really nice tuck-in opportunities that just strengthen our business in the local markets in which we acquire them, and we'll continue to look for those opportunities as best we can.
Todd Schneider: One thing I might add is, to Mike's point, we get synergies. It helps us with density, helps us with capacity utilization, allows us to spend more time with the customers. So all that's valuable, but in each of the businesses, depending upon the business we acquire. But normally when we make an acquisition in rental, first aid, or fire, we're able to provide an offering to that customer base that's broader than what they had in the past. So the rental waiver broader offering than most companies out there, certainly in the first aid we do as well. And depending upon the [fire] (ph) acquisition, that's very consistent. Separate from, then we can cross sell. So it adds nice value.
Operator: And our next question comes from Shlomo Rosenbaum from Stifel. Please go ahead, Shlomo. Shlomo, is you line muted?
Shlomo Rosenbaum: Sorry, my line was muted. This is a question basically for Mike, just a little bit going through some of the technical items in the quarter. Receivables days were up two days sequentially. I was wondering if there was a lot of business that came in at the end of the quarter. Are you seeing any changing patterns in what clients are paying or any other factors in that because the last time we saw 48 days was during COVID.
Mike Hansen: Shlomo, when our quarters end on a holiday and it seems like too many of them do, it does create a little bit of disruption in terms of the ability to collect the mail, the application. We have seen maybe just a touch of slowing in the AR, but we've not seen any, I'll say deterioration from the standpoint of additional write-offs. But we did see a little bit of slowing, and the Thanksgiving holiday can usually contribute to that.
Shlomo Rosenbaum: Okay. Then in the OPM, the operating margin, the other unit was up very nicely sequentially, even though there's one less day sequentially in the quarter. Could you just give us some of the mechanics or tell us just what's going on on the ground over there? It's increasing the margin very nicely and is that something that we should expect to continue at kind of that 16% level?
Mike Hansen: Well we -- certainly the revenue growth is powerful in all of our businesses and when we see some really nice revenue growth, that's important. The other thing that I would say is you know the uniform direct sale business went from a negative 2.7% in terms of revenue growth to 4.7%. And that is important for operating margins too. So we did see some nice improvement there in the direct sale. Nothing I would say that is noteworthy other than, again, some nice acceleration in the revenue.
Operator: And our next question comes from Leo Carrington from Citigroup. Please go ahead, Leo.
Leo Carrington: Thank you, and good morning. If I could ask a follow up on that point around the one-off or the cost that you called out in Q2 around current acquisition, training, technology. Were you calling them out to any of these one-off increases in nature or more to highlight where the spend is? And then in terms of the underlying margins and drop through in Q2 on your organic growth, do you see that as sustainable when you factor in the additional investment this quarter?
Mike Hansen: Well, Leo, I’ll start with, we call them out because we think it's important to make sure that our investors understand that we are looking at the long term and we want to continue to invest in the business. And those investments are really important and they set up, let's say, more penetration opportunities, more cross-sell opportunities, but also productivity improvements, capacity utilization opportunities. In these cases, we wanted to call them out to show that, look, we're focused on the long-term and we're going to continue in the business. As Todd said a couple times, the future is bright for us and we want to make sure that we take advantage of that bright future by investing in the business and the call outs were really more about that. The future is bright. In the quarter, we had incremental margins of 27%. Look, our expectation is that we're going to be in the 20% to 30% range going forward. We recognize that when we're sitting at 21%, they need to be in the higher level of that range. And we think that’s -- that we can continue to do that. And when we talk about things like SAP and technology and other investments, and by the way, we're able to get 27% even when we're investing in the business. But we give those to say we're setting up those future margin and revenue opportunities. It's important for us to, I think, communicate that.
Leo Carrington: Very clear. Thank you.
Operator: And our next question comes from Toni Kaplan from Morgan Stanley. Please go ahead, Toni.
Toni Kaplan: Thanks very much. You mentioned the success that you've had with the branded products earlier, particularly with Carhartt and Chef Works. Could you just remind us if these are exclusive relationships and how long the relationships are for and then are there any other areas that could benefit from branded products or equipment that you could offer as well?
Todd Schneider: Good morning, Toni, thank you for the question. So we've had a long standing relationship with Carhartt and Chef Works, and we are the exclusive licensees for those folks, for those companies on the rental programs. And so we work with them to design products that the end users want, want to wear, and -- but also that goes very well through our processing systems. So that's all very important to us. As far as, we don't get into contractual arrangements with them, but I can tell you this. We love products that our end users are, that get excited about wearing them. And Carhartt and Chef Works are two great examples of that, in great companies, great brands, great products. And as far as are there other opportunities, we're constantly looking for that. And we spend a lot of time with our customers and with our working partners to talk about that and to see where those opportunities do come from. But those are two great relationships, long-standing relationships that are really important to us.
Toni Kaplan: Yep, terrific. And maybe if you could just give us your latest thoughts on potential international expansion, that'd be great. Thanks.
Todd Schneider: I'd say, similar to products, we're always looking at those types of opportunities. We certainly know, stay in contact with the people that are running those businesses. But the great news is we don't have to do that to -- in order to be really, really successful in the future. We look at it and say there's, again, we're servicing about 1 million businesses. There's 16 million businesses in US and Canada. Here's what's really exciting is by the time we get to 2 million customers, there will be more than 16 million businesses in the US and Canada. So that's kind of a bummer if you're running a race but it's really exciting if you're running a business because once we get to the 2 mile mark, the race is going to be extended. So that's separate from -- we're going to have more products and services over the coming year. So all that being said is, we continue to watch it, we evaluate it, we look for the right opportunity, and if that opportunity presents itself, then we will seize it, but it's certainly not -- it's not required in order for us to be successful in the future.
Operator: And at this time, there are no further questions. I'd like to turn the call back over to Jared Mattingley to close out the call.
Jared Mattingley: Thank you for joining us this morning. We will issue our third quarter of fiscal ‘24 financial results in March. We look forward to speaking with you again at that time.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.